Brian Robbins: Ladies and gentlemen, good afternoon. My name is Brian Robbins and as Executive Chairman of the Board, I welcome you to this annual meeting of the shareholders of Exco Technologies. I also welcome those listening to our broadcast through the internet. I should also mention that we’ll be taking questions from our webcast as well as from the floor and telephone. If those listening on this webcast have any questions, please submit them at any time during the presentation using the question box on the webcast console. Those listening on the telephone will be muted until the end of the formal presentations, and then questions will be taken. We reserve the right to limit questions either in the internet or of time or content. I also want to draw your attention to the cautionary statement on the slide. During the course of our presentation and subsequent questions and answer session, forward-looking statements will most likely be made. I won’t read the entire cautionary statement but for those listening by phone or internet, it is substantially identical to that appearing at pages 4 and 5 in our 2019 annual report. I’ll now proceed with the agenda for today's meeting. In accordance with the company's bylaws, I will serve as Chairman of the meeting and Matt Posno, Chief Financial Officer of the Corporation will act as Secretary of the meeting with your approval. I will ask TSX Trust Company represented by Miss Rosa Garofalo to act as scrutineer. Pursuant to the notice and access regulations, notice of the meeting was mailed to the shareholders on December 27, 2019 and we have received an affidavit of the Corporation's transpiration agent as to its mailing. Unless someone wishes to have it read, I will ask for a motion to dispense from the reading of the notice.
Unidentified Company Representative: I move that the notice calling the meeting be taken as read and approved.
Brian Robbins: Thank you, Lorena [ph]. You've heard the motion, all in favour? contrary if any, carried. I direct that a copy of the notice together with the affidavit of mailing be kept with the records of this meeting. I received a preliminary report of attendance from the scrutineer, which indicates that a quorum is present. Since we have a quorum, I declare that the meeting has been duly called and is properly constituted to transact any business appearing on the agenda. The secretary has tabled the minutes of the annual and special meeting of shareholders held on January 30th 2019. Unless someone wishes to have them read, I will ask for a motion to approve the minutes and to dispense with their reading.
Unidentified Company Representative: I move that the minutes of the annual and special meeting of shareholders held on January 30 2018 be approved, and that their reading of the minutes be dispensed with.
Brian Robbins: Thank you. You've heard the motion. All in favour. Contrary carried. The next item of the business is the presentation of the consolidated financial statements of the corporation and its subsidiaries as at and for the year ended September 30th 2019, and the auditor’s report there on. Mr. Blake Langill, a partner with the firm, Ernst & Young, the Corporation's auditors is here today and has advised me that he knows of no points which should be raised with the shareholders at the meeting. The annual report containing the financial statements and the auditor's report was made available to shareholders under the notice and access regulations at our SEDAR website and our transfer agent website. Copies are also available here today. I would ask that you hold any questions until the end of the meeting at which time we'll be pleased to respond. The secretary has tabled the financial statements and the auditor's report thereon and I direct that a copy to be kept within the records of the meeting. I propose to proceed with the votes on each of the election of the directors and the appointment of the auditors by way of a show of hands, as the proxies received from overwhelming support for management's recommendations. It is now in order to proceed with the election of directors at today's meeting. Seven directors are to be elected. All seven of the seven nominees are being renominated and information regarding each of them is set out in the information circular, which again was made available at our SEDAR website and our transfer agents’ website. Copies are also available here today.
Unidentified Company Representative: Mr. Chairman, I have the pleasure of nominating Edward H. Kernaghan, Darren M. Kirk, Robert B. Magee, Colleen McMorrow, Paul E. Riganelli, Brian A. Robbins and Anne Marie Turnbull. All of whom are Canadian citizens as directors ran for office until the next annual meeting of shareholders or until their successors are duly elected or appointed.
Brian Robbins: As no further nominations were received by the corporation within the time limits set out in the corporation's advance notice bylaw, which was adopted by shareholders at last year's annual meeting. I declare the nominations to be closed. We have seven persons nominated for the seven positions of director. May I have a motion to elect the seven nominees.
Unidentified Company Representative: We move the seven persons nominated be elected as Directors of Corporate to hold the office until the next annual meeting of shareholders or until their successors are elected or appointed subject to the provisions of the corporation’s bylaw.
Brian Robbins: Thank you. All in favour, please raise your hands. Contrary if any, carried. I now declare that Edward Kernaghan, Darren Kirk, Robert Magee, Colleen McMorrow, Paul E. Riganelli, Brian A. Robbins and Anne Marie Turnbull have been duly elected directors of the corporation to hold office until the next annual meeting of shareholders or until their successors are duly elected or appointed. We’re now proceeding with the appointment of the auditors and the authorization of the directors to fix their remuneration.
Unidentified Company Representative: [Indiscernible] be appointed auditor of the corporation to hold office until the next annual meeting of shareholders and the directors of the corporation to be authorised to fix its renumeration.
Unidentified Company Representative: I second the motion.
Brian Robbins: You've heard the motion. All in favour? Contrary if any? Carried. I now call upon Mr. Darren Kirk our President and CEO to comment on the corporation's performance.
Darren Kirk: Thank you. Thank you, Brian. Good afternoon ladies and gentlemen. I'll use my first few slides to touch on market fundamentals and the strategy of our businesses. Then I'll dig into the operational aspects of our first quarter of fiscal 2020. Before I think, hand things over to Matthew to discuss our Q1 financial highlights. So, I guess, I'll start on a sombre note, but I really think our outlook is very bright. Looking at the macro environment, it's clear, our general market conditions have softened over the past year. In fact, I would say the automotive industry in both North America and Europe are effectively in a recession. Vehicle production volumes in these regions were modestly lower again in 2019 and are widely expected to be flat to slightly down this year. Well, we obviously can't do much about this backdrop, we continue to focus our efforts on market niches where there are undercurrents of growth. These include one, the trend of OEMs to make their vehicles more appealing and profitable through excess arising and help trimming the vehicle interiors, two, increasing consumer demand for larger vehicles that have more cargo and cabin space, and three, growing acceptance of the European automakers that Morocco is a low cost and dependable supply base. By pursuing these themes, our parts businesses have achieved growth well above industry volume levels and we fully expect this will continue. Of course, in this segment of our business, we are also agnostic to drive train architecture, meaning that we have equal opportunity whether the vehicle is powered by gas, battery or whatever the propulsion mechanism is. Meanwhile, as it relates to our tooling businesses, there are also segments of growth that we are very well positioned to capitalize on regardless of economic conditions. This is particularly true within the automotive industry, where an acute focus on vehicle light weighting is driving the higher use of aluminum in all vehicles, especially those with electric power trains. We have been upgrading our manufacturing processes and capabilities to fully take advantage of these trends for many years now, while staying strongly focused on innovation to drive sales and lower costs. Our large mold division clearly demonstrates all of these traits particularly with the way that they have embraced additive manufacturing. We are now regularly incorporating 3D printed components into the design of our molds, which greatly enhances the overall quality and performance of the die-cast process. The use of additive manufacturing in this regard is still quite nascent, but growing strongly, and we have a clear lead evidenced by a recent receipt of the Automotive News prestigious pace award. We are also making significant capital investments that will provide future growth opportunities in new markets. In fiscal 2019, we added to a stable of Greenfield operations with the construction of our sixth extrusion tooling plant. This facility located in Mexico to service the domestic market began commercial production halfway through the year, and we have been very pleased with our early results. The success of our newest facility clearly speaks to the benefit of our standardized manufacturing processes, which provide increased flexibility and unmatched efficiency across our multi plant footprint. Elsewhere in our tooling business, cast tool further expanded its main plant in Uxbridge to provide additional capacity and keep up with strong expected demand growth. In this month, Castool has acquired land for a new facility in Morocco to better penetrate the European market. We expect Castool’s new plant will be operational in mid fiscal 2021. On the Slide 9. I'll move over to the social aspect of our operations. It is clear our labor rates have increased over the last couple of years. This was particularly evident in Mexico last year when an unprecedented federal policy change doubled the minimum wage contributing to a significant wage increases and large bonus payments to production staff. This suppressed our profits through much of fiscal 2019. However, I am pleased to report that we have concluded this year's negotiations without disruption and when compensation arrangements much closer to historical norms. Consequently, our results will benefit from a reduction in bonus payments this year relative to last year. Now it is true that wages have gone up over the last few years in Mexico and elsewhere which has adversely impacted profits for current programs, and these higher costs will continue to hamper our financial performance through the remaining life of these programs. However, I would point out that our automotive parts programs have about two years remaining at any given point in time and we are certainly incorporating higher costs into new program quotations. This is not to say that we aren't also focused on achieving continuous productivity gains and pursuing new opportunities to protect our margins. These elements are core requirements because higher prices can never solely be the answer. In this regard, we are very fortunate to have such a diverse and dedicated group of employees around the globe. I want to thank all of our employees for their hard work and commitment to working safely, which is paramount for our continued success. Turning to our capital allocation strategy on Slide 10. I would emphasize that we are generating significant free cash flow while making these substantial investments. In fiscal 2019, we generated free cash flow of $0.89 per share and returned a record $26.9 million or $0.65 per share to shareholders even as we improved our balance sheet end of the year in a net cash position. For 2020, our capital spending will remain healthy in support of our organic growth agenda but we still expect to produce free cash flow well in excess of our dividend payments. Acquisitions continue to remain of interest. However, as I've indicated, we see lots of opportunity to grow organically, which is our current focus. Absent any acquisition activity, we expect to use our cash flow after dividends to further strengthen our balance sheet and continue to reduce our share count. I will now turn to the first quarter of 2020. On Slide 12, I'll start with our Automotive Solutions segment. Overall, industry light vehicle production in North America was lower by about 9% while production in Europe was down by a little less than that. Nonetheless, segment sales excluding foreign exchange rate movements and contributions from ALC last year were essentially flat. Segment sales in the quarter were supported by a number of programs launches particularly at Polydesign and AFX. Profitability within the segment however, was adversely impacted by unfavorable product mix and foreign exchange rate swings while lost contributions and uneven production associated with the GM strike added to the challenges this quarter. Ongoing inefficiencies continued in the quarter from recent program launches and a delay in some new programs being launched. Nonetheless, we continue to make progress on this front although at a pace below our expectations. Looking at business conditions, new quoting activity has certainly slowed in the last few quarters particularly in Europe. This is tied to softer vehicle production volumes and incremental capacity of certain automotive suppliers. In North America, quoting activity remains fairly decent and we did have some key program wins during the quarter. We continue to see prospects for top line growth in both Europe and North America in fiscal 2020 supported by previous program wins and a reduction in the number of programs reaching completion relative to fiscal 2019. Perhaps more importantly, we expect a reduction in our cost, particularly as bonus payments to production staff in Mexico will be materially lower this year. Moving on to the casting extrusion segment on Slide 13, and starting with our large mold group. Sales there were stable year-over-year. Quoting activity however remains very robust with several opportunities being pursued with both new and existing customers. Foreign exchange adjusted profitability within the group was also relatively stable year-over-year. Progress with our various efficiency initiatives is ongoing as we continue to take all kinds of hours out of jobs and further reduce lead times. This progress however was offset in the quarter by reduced overhead absorption at one of the group's locations due to lower volumes associated with customer timing requirements. With regards to our additive operations, demand remains strong and we see tremendous amount of opportunity. In fact demand has been so great that we ordered our third 3D printer near the end of the quarter. At Castool, the group's innovative portfolio of products remains very well positioned and it is clearly an industry leader that is gaining share in both die cast and extrusion tooling. Nonetheless, group revenues and profits were modestly lower during the quarter as market conditions softened for both consumables and capital equipment goods particularly in the North American extrusion industry. Castool's operations in Thailand however did see a nice rebound as they have begun to lap weaker quarters. Looking forward, Castool’s plant expansion in Uxbridge is now complete and all equipment has been repositioned with minimal disruption. As well Castool’s third plant in Morocco continues to move ahead. Castool 90 as we call it is now a legal entity and the land for a new site has been acquired. We are now moving forward with building planning and construction and expect to be operational and up in running by around mid-fiscal 2021. As discussed in recent quarters, Castool 90 will enable the group to better penetrate European customers where Castool is currently at a disadvantage given that it lacks proximity to that market. In our extrusion tooling operations, we saw North American market conditions continuing to remain weak in the quarter, driven by a slowdown in the building and construction end markets. The group's overall sales were up modestly, helped by initial top line contributions from our new tooling facility in Mexico, which began commercial production on April 1st. Group profitability however, was negatively impacted by reduced overhead absorption at our mature facilities as well as start-up losses in Mexico. While it is difficult to say how long the market slowdown will persist, we remain focused on further improving our efficiency and expect start-up losses in Mexico will quickly decline as we ramp that plant up. In summary, overall market conditions remain a challenge, but we are winning more than our share of new business and we continue to expect some relief on the costs in the quarters ahead. Meanwhile, we are making significant investments to both better position and grow our businesses for future success even while returning meaningful cash to shareholders and maintaining our exceptional financial strength. With that, it concludes my operations overview. I will now pass the discussion to Matthew to discuss the financial highlights of the quarter.
Matthew Posno: Thank you, Darren. Good afternoon. My comments will cover Slide 17 to 22 of the presentation. Consolidated sales for the first quarter ended December 31, 2019 were $120.4 million compared to $142 million in the same quarter last year, a decrease of $21.7 million or 15%. After adjusting for ALC sales of $19.8 million in Q1 last year because that business has been closed and the Canadian dollar strengthening in the current quarter reduced our first quarter sales this year by $2 million sales are essentially flat in the quarter. Consolidated EBITDA for Q1 of $15.4 million was down $3.2 million or 17% compared to last year. Over half, $1.8 million of this decline was due to a stronger Canadian dollar. The Casting Extrusion segment EBITDA was up $100,000 after adjusting FX and the Automotive Solutions segment EBITDA was down $1.6 million. Consolidated net income for the first quarter was $8.1 million or earnings of $0.20 per share compared to $3.8 million or $0.09 per share in the same quarter last year, an increase of net income of 111%. Excluding a net expense of $6.1 million or $0.15 a share related to ALC in the prior year period, adjusted net income was lower by 19% year-over-year. The Company generated $3 million in free cash flow in the quarter. This is compared to a negative $4 million last year. After investing 6.5 million in fixed assets and 3.8 million in working capital. We use $2.7 million to purchase shares with a normal course issuer bid, and 3.6 million to pay out dividends. The balance sheet, net cash balance at December 31 is $5.5 million. Walking revenue from fiscal 2019 to fiscal 2020, ALC and foreign exchange rate changes reduced sales $21.8 million. After adjusting for these items, the sales from the segments remained flat, notwithstanding global weaknesses and reduced output in automotive and extrusion markets. Consolidated pre-tax profit before interest for Q1 was $10 million compared to $7.7 million a year ago. After adjusting for ALC’s last year ALCs write down and the foreign exchange impact this quarter, pre-tax profit was $2 million lower than the prior year. The automotive segment pre-tax profit was down $1.6 million and the casting and extrusion segment was $300,000 lower. Turning to the automotive segment, revenue was stable after adjusting for ALC and foreign exchange. Segment EBITDA margins improved from 12.8% to 14.5%, but overall EBITDA declined $1.6 million due to the higher cost associated with labor, foreign exchange and launch costs compared to the prior year. The casting extrusion segment revenue was down 1% compared to Q1, 2019. EBITDA margin was down 140 basis points and EBITDA dropped 800,000. After adjusting for Canadian dollars strengthening, sales in EBITDA were consistent with the prior year quarters. Large Mould sales were relatively stable and healthy quoting activity continues with both current and potential customers. Extrusion group sales were modestly higher during the quarter, as sales for the New Mexico facility were partially offset by lower sales in North America due to softer overall market conditions. At Castool, the group's revenue was moderately lower as market conditions softened for both consumable and capital equipment goods in the quarter, particularly with the extrusion industry. On slide 22, Exco’s leverage and liquidity remains very strong. Our net cash position of $5.5 million and a revolving credit facility has $38 million available as at December 31. Exco consistently generates cash from operations and this will be used to invest in new capital. Example would be the Castool Morocco facility, new additive technology that Darren just mentioned, and other strategic capital assets, dividends and then the share buyback. This provides us with considerable flexibility to support future growth as opportunities arise. That concludes my comments. I would like to invite Brian Robbins back to the podium.
Brian Robbins: This is the quickest Annual Meeting I’ve ever been too. Well, thanks, Matt. Today, it's my pleasure to announce that we will again be raising the dividend by a half cent per quarter, or $0.02 on an annual basis bringing the dividend to $0.095 per quarter or $0.38 per year. This is the 14th time we raise the dividend since initiating it in 2006 at which time it was $0.05 per year. The only year we didn't increase the dividend was 2009 and we all remember that eventful year. I think our shareholders are happy with this performance as the company remains debt free even after employing capital to repurchase shares. As already said, we repurchased about 2.5 million shares over the past two years reducing the flow, excuse me reducing the share count by about 6% and at a cost of about $22 million, and we still have $5.5 million in the bank. I'll now turn the meeting back to Darren.
Darren Kirk: Thank you, Brian. Before we move on to a question and answer segment, it is with great pleasure that I can announce this year's President award winner. And this year’s winner is Wes Byleveld. For those of you who don't know Wes, he's been the champion behind our additive manufacturing business, which was started from scratch just a few years ago and is now an unquestioned leader with several million dollars in annual sales. Wes has worked at Exco in die-cast tooling and engineering for more than 15 years including the last five years in which he has led our additive manufacturing business. He has spent time at machine builders, universities and die-casters around the globe. Wes is a rare talent who has been instrumental in both the technical and commercial aspects of the business. He has designed and delivered some of the world's largest and most complex additively produced tooling for the high pressure die-cast industry. So Wes has truly accomplished a great deal of success, but we know he is only just getting started. In fact, as I mentioned earlier, we just purchased our third 3D printer to keep up with the demand that Wes has created. And I'm pretty sure Wes will be looking for more of these machines in the very near future. I should also point out that Wes is no stranger to winning. I was with Wes last year when he received the prestigious North American news pace award, and for anyone not familiar with that achievement, I assure you it is a huge deal. So, come on up Wes. Congratulations. I know you're going to have many more wins in the future. Keep up the great work. With that, we can transition the meeting to a question and answer session. So, I'll take questions from the floor. If there's any first.
Operator:
Q - Unidentified Analyst: Earlier you mentioned that your automated tax facility more and more in Morocco in terms of automotive part manufacturers, can you be talked about, can we say dynamic work in Mexico as you're one of the pioneers who moved to Morocco it's been a great facility, but if more manufacturers go there, is there a pressure on labor and we have a similar margin issue or is that actually good news for you in terms of them sourcing more and more from you?
Darren Kirk: Thanks for the question, Gabriel. Morocco is different than Mexico, Mexico's labor market. Mexico's labor market is much tighter. The demographic that we seek to hire in Morocco, Morocco there is much greater levels of unemployment and we have not seen the wage pressures in Morocco to date. Now obviously as industry activity has picked up in Morocco, as the German OEMs have recognized that higher costs have occurred in Eastern Europe and look for a lower cost dependable supplier, more businesses have moved in and so there is more competition, but there's also more OEM plants moving to Morocco. So I think that just general levels of activity have picked up in Morocco. But no, we have not seen the wage pressures there that we have seen in Mexico.
Unidentified Analyst: Thanks.
Brian Robbins: Any other questions from the floor?
Unidentified Analyst: You added I think two 5-axis machinery in the last year. I was just wondering how the throughput is on that, and the learning curve similar to the three previous machines?
Darren Kirk: So we have ordered the machines last year in part because the lead time to get these machines is so long. In fact, we've not yet received them yet, and we won't receive them until probably July or August timeframe. But no. The learning curve will not be steep at all relative to what we experienced in the past. You know those inefficiencies have for the most part been, been ironed out and we don't expect to incur them with the new machines.
Unidentified Analyst: And kind of just shifting gears to automotive solutions. We're always trying to throw a dart on the board in terms of the margins. It seems like it was pretty strong this quarter at 14.5%. When I factor in the onetime costs, it's probably a bit higher than that. Is that a good trend going forward or should we expect that to continue to grind higher?
Darren Kirk: I think you should expect it to continue to grind higher. The bonus payments really did start to hit in Q2 of last year. So from a year-over-year standpoint, we should see improvement. But we should also see continued improvement on a sequential basis.
Unidentified Analyst: Thank you.
Darren Kirk: Any other questions? Ben?
Ben Jekic: Hi, I wanted to ask a question about AFX. I think in the last couple of quarters, there were and I think in addition to the cost problem, there were some year-over-year declines there, but it seems like this quarter has been better. Can you just sort of elaborate on the dynamic dynamics in this business?
Darren Kirk: Sure. Well, we did have sales contraction at AFX through much of fiscal 2019. As you know we had a number of programs that were ending and there were some period of time before the new programs that replaced them had started to ramp up. Last quarter, we did see an improvement in the sales line at AFX and that's been driven by the new programs that are now ramping up, and we continue to see that occur again this quarter.
Ben Jekic: Okay. Thank you.
Unidentified Analyst: Just a quick question on that. In terms of the mix at AFX between SUVs and sedans. What -- in the past it was very skewed to sedans. Can you give us a ballpark high-level number where that may be now?
Darren Kirk: I would guess sedans might be around 40% now at AFX versus 25% for the market you know that gap is closed in part because the market has forced the adjustment, but also as AFX has been continuing to diversify.
DavidPeters: Hi. I'm David Peters, I'm a shareholder. I was wondering how has the trade wars or the uncertainty related to NAFTA have any impact on your results in the past year or two? What might we expect going forward?
Darren Kirk: I would say that there's no clear impact on the automotive solutions side of the business from the trade wars. You know now that the U.S. embassy has been signed at least by Mexico and the U.S. and presumably in short order by Canada that any potential challenges are put to bed. But on the tooling side of the business, there was perhaps some demand, destruction because of all the tariffs on steel and aluminum and some of that still goes on, the demand within the aluminum market in North America is weak. It still may be a function of those tariffs, but it's hard to quantify any direct linkage. Any other questions from the floor? A question from the phone or?
Operator: Thank you. [Operator Instructions] we have a question from Michael Doumet. Your line is open.
Michael Doumet: Hey good afternoon guys. Thanks for taking the questions. So Darren, I think you talked about this a little bit, but I just want to get a little bit more granular. So I'm trying to put together your comments as it relates to the increased wages in Mexico and the higher prices on the renewed contracts as a pass-through. Given we're in the second year of this, if we exclude the one-time bonus payments? Like are margins trending up or down?
Darren Kirk: Well margins, I mean, I guess, they’ve been pressured over the last couple of years, really. But I would think at this point, we’ve hit the trough. And with the bonus payments, reducing year-over-year in fiscal 2020 versus 2019, we will start to see some improvement on the cost side, but then also new programs that we have been placing some of this higher pricing and are now going to be starting up in short order, and that will improve things as well. So things will start to grind higher from here is our expectation.
Michael Doumet: Okay. And just given the contracts last 3 years to 5 years, presumably, that's the time line we should think to get to sort of the previous margins that you guys had?
Darren Kirk: Yes, I think you know it is going to take you know kind of that period of time to fully get back to where we were. But you’ll start to see things pick up in the next quarter or two.
Michael Doumet: Okay. Well, that's good to hear. And just maybe one other question. You talked about ample opportunity in Polydesign and AFX. But if I heard you correctly, a little bit less in Europe as it relates to automotive solutions. So macro softening both. So I'm just wondering what's driving the larger opportunity set in North America?
Darren Kirk: I think it's -- Polydesign is a pretty unique position given that they are very well-established in Morocco and they are the go-to company for wrapping all kinds of components. They have expanded their capabilities to other products in the past several years and they continue to do that. So to the extent that there's been a shift in demand from Eastern Europe to Morocco Polydesign has taken a disproportionate amount, and therefore growing faster than the market.
Michael Doumet: Okay. Thank you.
Operator: Thank you. [Operator Instructions] One moment please. I'm showing no further question.
Darren Kirk: I think that was just instructions. If that was a question, we are unable to understand it. If you could repeat the question, please?
Operator: I'm showing no questions.
Darren Kirk: Okay. Any questions from the Web? Okay, with that I'm going to pass the mic back to Brian.
Brian Robbins: Well 35 minutes, that's not bad. This stuff's pretty dry. As there is no further business to be brought before the meeting, I ask for a motion to terminate.
Unidentified Company Representative: I move that the meeting terminate
Unidentified Company Representative: I second the motion.
Brian Robbins: You've heard the motion. All those in favour? [Indiscernible] I now declare the meeting terminated. Thank you for coming out ladies and gentlemen.